Operator: Ladies and gentlemen, thank you for standing by. Welcome to Aptar's 2025 Fourth Quarter and Annual Results Conference Call. [Operator Instructions] Introducing today's conference call is Mrs. Mary Skafidas, Senior Vice President, Investor Relations and Communications. Please go ahead.
Marry Skafidas: Thank you. Hello, everyone, and thanks for being with us today. Our speakers for the call are Stephan Tanda, our President and CEO; and Vanessa Kanu, our Executive Vice President and CFO. Our press release and accompanying slide deck have been posted on our website under the Investor Relations page. During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measure and the reconciliations are set forth in the press release. Please refer to the press release disseminated yesterday for reconciliations of non-GAAP measures to the most comparable GAAP measures discussed during this earnings call. As always, we will also post a replay of this call on our website. I would now like to turn the call over to Stephan.
Stephan Tanda: Thank you, Mary, and good morning, everyone. We appreciate you joining us on the call today. I will begin my remarks by highlighting our annual and fourth quarter results. And later in the call, our CFO, Vanessa Kanu, will provide additional details on the key drivers for the quarter. For the quarter ending December 31, 2025, we delivered very strong top line performance. Reported sales grew 14% to $963 million, up from $848 million in the prior year. Core sales increased 5%, reflecting healthy underlying demand across our portfolio. Our adjusted EBITDA margin was approximately 20%, impacted partially by a combination of higher-than-expected production costs in our Beauty and Closures segments as well as shifts in product mix, including the decline in demand for emergency medicine products that we discussed last quarter. Vigorous productivity measures will remain a major focus for us in 2026 and beyond. We are continuing to lean into our cost reduction initiatives and push further on back-office centralization through our global talent centers. Vanessa will speak in more detail about these dynamics in her remarks. Stepping back, our teams executed well with all 3 segments delivering core sales growth this quarter. In Pharma, growth was led by continued strong demand for our elastomeric components, ongoing momentum in our systemic nasal drug delivery technologies and a return to growth in our Consumer Healthcare division. Our Beauty segment delivered double-digit core sales growth with strong growth across each end market, fragrance and facial skin care as well as personal and home care. Based on what we have heard from our customers, their holiday sales, especially the pre-holiday events such as 11/11 in China and Black Friday in the U.S. were encouraging. And in Closures, we saw solid product volume growth, reinforcing the strength of our market positions. Vanessa will talk about the operational disruptions we experienced in Beauty and Closures, which were clearly disappointing. Our teams are actively working through these issues. Together, these results highlight though the resilience of our business, the strength of our global technology platforms and the benefits of our innovation-led application portfolio. Let me now take a moment to review our full year performance. For the year ended December 31, 2025, reported sales increased 5% to $3.8 billion compared to $3.6 billion in the prior year. Core sales were up 2%, reflecting steady demand across key product categories. On the bottom line, we also delivered growth for the full year. Reported net income increased 5% to $393 million, and reported earnings per share grew 7% to $5.89, up from $5.53 a year ago. Adjusted earnings per share were $5.74, a slight decline of 1% versus $5.81 in the prior year, including comparable exchange rates. We continue to take a disciplined and balanced approach to capital allocation. In 2025, we returned $486 million, so almost $0.5 billion to shareholders through share repurchases and dividends. Capital expenditures decreased year-over-year and represented about 7% of sales, which reflected our focus on efficiency and prioritization of high-return investments, a focus we fully intend to continue in 2026. Importantly, 2025 marked our 32nd consecutive year of paying an annually increasing dividend, a milestone that speaks to our commitment to shareholders and the resilience of our business model. Overall, these results demonstrate our ability to deliver consistent performance, invest for long-term growth and return capital to shareholders, all while navigating a dynamic operating environment. Before I turn the call over to Vanessa, let me turn to our very important Pharma pipeline, where our core business continues to deliver. In 2025, systemic nasal drug delivery accelerated and injectables accounted for a greater portion of our opportunity set. Core sales for our Pharma segment, excluding emergency medicine, grew 10% in the fourth quarter compared to the same period in 2024. We fully expect our pipeline and recent launches to support our ability to deliver our long-term core sales target of 7% to 11% growth with adjusted margins of 32% to 36%. Our prescription drug pipeline spans a broad range of therapeutic areas across respiratory, injectable, ophthalmic and dermal drug delivery routes. The top therapeutic categories in our pipeline ranked by weighted value include respiratory, biologics and injectable formats, systemic nasal drug delivery, especially in central nervous system, pain management, emergency medicine, small molecule injectables, ophthalmology, allergic rhinitis, vaccines delivered both intranasally and via injection and dermatology. The key message here is that we continue to build on a very well-diversified portfolio of medical indications and delivery technologies. Injectables have taken an increasingly prominent role in the pipeline and the systemic nasal drug delivery has expanded, nasally delivered central nervous system therapies has represented the majority of opportunities, which we expect to continue. Historically, our pipeline contributes about 10% of annual revenue, while the remaining 90% is driven by repeat business. Within that repeat business, we anticipate Pharma's primary growth engine continuing to be fueled by volume growth and mix enrichment. So overall, our core business performed very well in 2025. Systemic nasal drug delivery has accelerated and injectables represented a larger share of the pipeline. We see this supporting our sustained growth across multiple therapeutic areas. I would also like to highlight the exceptional progress across our Pharma pipeline and the strong momentum we are seeing with our customers. Over the last few months, several important programs have advanced, many of which rely on Aptar's market-leading nasal drug delivery technologies. Starting with CARDAMYST, Milestone Pharmaceuticals breakthrough first and only self-administered nasal spray delivered through our Bidose delivery system for adults with acute symptomatic PSVT for the experts that stands for paroxysmal supraventricular tachycardia or in layman terms, a fast heartbeat that starts and stops suddenly. This represents a major milestone for patients by offering rapid on-demand treatment that shifts care from the emergency room to the home. The U.S. FDA approval in late 2025 makes this the first new PSVT treatment in decades and supports future development of AFib or atrial fibrillation with rapid ventricular rate. Piper Sandler also noted that with the U.S. launch expected in the first quarter of 2026, this product is projected to scale meaningfully over the next decade. Additionally, our Active Materials Science division designed the portable dual container system for CARDAMYST that safely houses 2 Bidose devices and prevents accidental activation at the moment of need. In vaccines, our position as a partner of choice continues to grow. CastleVax's Phase II study of its intranasal COVID-19 vaccine is using Aptar's LuerVax and Spray Divider platforms to assess mucosal immunity in roughly 200 adults. This collaboration underscores our deep regulatory and technical strengths in nasal vaccine delivery. In ophthalmology, we signed an exclusive agreement with Bausch + Lomb for our Beat the Blink eye care delivery system, which delivers medication through a horizontal spray action. Internationally, regulatory milestones also validate our technologies. In Australia, for example, the Therapeutic Goods Administration, or TGA, approved neffy, the first needle-free epinephrine nasal spray for anaphylaxis, representing the most significant change in emergency allergy care in more than 20 years. And finally, LTR Pharma initiated its Phase II pharmacokinetic study of SPONTAN, a rapid-acting intranasal therapy for erectile dysfunction. The study includes both younger and older adult cohorts with data expected in the second quarter of 2026. This reinforces the broader shift towards fast, predictable intranasal delivery, an area we believe Aptar is exceptionally well positioned. Across all these examples, the message is clear. Aptar's innovation engine continues to enable major breakthroughs across Pharma and our technologies are at the core of some of the most important and exciting new drug platforms in development today. During the quarter, we also enabled numerous new product launches in Beauty and Closures. In Beauty, Unilever selected our new high-dose all-plastic pump technology for their Nexxus hair care launch for all of their 13.5-ounce and 33.8-ounce shampoo and conditioner lines in North America. We also developed a custom version of our premium Airless beauty pump solution for Chanel's, HYDRA BEAUTY Micro Serum in Europe. And finally, a new skin care line from the Chinese beauty brand, [indiscernible] features our airless pump and reloadable solutions, providing also shipping durability. All of these recent examples are using higher-value technologies from our beauty portfolio. Turning to Closures. McCormick launched a new condiment line called Cholula Cremosa using our flip top pour spout closure, which brings a new level of clean and controlled directional dispensing to their line of flavorful sauces in North America. And in beverages, Coca-Cola's Powerade and BonAqua water and energy drinks in South Africa feature our spout closure with Tamper-Evident technology. Unilever has partnered with us on a custom 100%, post-consumer recycled resin or PCR, dosing closure for their comfort concentrated line of fabric softeners in Brazil. And finally, let me touch on recent recognitions received in the quarter. We are pleased to continue our global leadership in sustainability by taking measurable actions on climate and demonstrating a strong commitment to transparency. In 2025, over 22,000 companies disclosed environmental data through CDP. These companies represent more than half of the global market cap, and we are again part of the CDP Climate A list placing among the top 4% of the companies with the highest score from CDP. In addition, for the seventh consecutive year, we are named one of America's most responsible companies by Newsweek, ranking 56 out of 600 U.S. companies. Now I would like to turn the call over to Vanessa.
Vanessa Kanu: Thank you, Stephan, and good morning, everyone. Let me begin by summarizing the highlights for the quarter. As Stephan noted, our reported sales increased 14% and core sales, which adjust for currency effects and acquisitions, grew 5% compared to the prior year. We achieved adjusted EBITDA of $191 million, a decrease of 2% from the prior year and adjusted EBITDA margin of 19.8% compared to 23% in the prior year due to a combination of less favorable product mix and higher-than-anticipated production costs in our Beauty and Closures segments. I will touch on these factors momentarily. Adjusted earnings per share were $1.25 compared to the prior year's adjusted earnings per share of $1.62 at comparable exchange rates. With those high-level comments, let's take a closer look at segment performance. Our Pharma segment's core sales increased 4%. Let me break that down by market, starting with our proprietary drug delivery systems. Prescription core sales increased 1%, driven by strong year-over-year demand for dosing and dispensing technologies for systemic nasal drug delivery, especially for central nervous system and pain applications, asthma and COPD therapeutics. This growth, coupled with growing royalty payments, more than offset lower emergency medicine sales. Excluding emergency medicines, which declined 36%, prescription core sales increased 10% in the quarter. Consumer Healthcare core sales increased 3%, primarily due to an increase in sales for nasal decongestant and cough and cold solutions. This marks a shift back to positive growth in this division after a period of inventory normalization at the customer level. Injectables core sales increased 24% with strong demand primarily for elastomeric components used for GLP-1, antithrombotics and small molecules. Services also contributed positively in the quarter, and we continue to see strong pipeline build for Annex 1 and biologics projects. And for our Active Materials Science Solutions, core sales decreased 10%, driven by a challenging comparison from a large tooling sale in Q4 2024 that did not repeat. Pharma's adjusted EBITDA margin for the quarter was 32.4%, a 330 basis point decline from the prior year. The margin decline was driven by product mix and volume due primarily to a decline in demand for emergency medicine. Moving to our Beauty segment. Core sales increased 10% in the quarter, of which 1/4 of the growth was tooling. The double-digit growth in core sales provided a strong top line lift despite some operational disruptions. Looking at the two largest end markets for Beauty, Fragrance, Facial Skin Care and Color Cosmetics core sales increased 7%, primarily due to higher sales from both masstige and prestige fragrance pumps as well as color cosmetics. Personal Care core sales increased 17% with broad-based growth across all regions. Applications for body, hair and sun care continue to show strong demand. Beauty's adjusted EBITDA margin for the quarter was 10.2%, a decline of 220 basis points. The decline in Beauty's margin primarily reflects certain customer projects, including tooling at lower margins. Additional impacts included required environmental upgrades at one of our metal anodization plants as well as operational disruptions at an existing supplier that required us to qualify a new supplier and perform additional quality testing. These impacts will abate through the first half of 2026, and we expect to see steady improvement in Beauty's margin quarter-by-quarter. Moving to the Closures segment. Core sales increased by 1% compared with the prior year period. While volumes were up, core sales were impacted by the pass-through of lower resin pricing. Looking at the two largest end markets for closures, Food core sales decreased 1%, primarily driven by lower sales of infant nutrition and granular powder. Beverage core sales increased 7%, primarily driven by increased sales for dairy and functional drinks. The segment's adjusted EBITDA margin was 14.9%, representing a 120 basis point decline over the prior year, primarily due to continued equipment maintenance that impacted production and higher tooling sales that are typically at a lower margin. Our closures team is working through necessary repairs and the maintenance issue is expected to be transitory. At the total company level, consolidated gross margins declined by 371 basis points in Q4 year-over-year as a result of the mix and production impacts I just discussed. I also want to call out that Q4 2025 was a record quarter for tooling sales, culminating to full year 2025 being the second highest year for tooling sales in over a decade. Although tooling typically carries lower margins, this performance bodes well for customer retention and potential new business. SG&A expense in the quarter increased in absolute dollars, largely due to currency effects, nonordinary course litigation costs incurred in the quarter and the effect of acquisitions. SG&A as a percentage of sales decreased from 16.3% in 2024 to 15.7% in 2025, a 60 basis point reduction year-over-year. Overall, consolidated adjusted EBITDA margins decreased by 320 basis points to 19.8%, reflecting the dynamics I just highlighted. Adjusted earnings per share of $1.25 were down 23% year-over-year at comparable exchange rates due to higher depreciation and amortization expenses associated with our capital investments and acquisitions and higher interest expense due to a higher average debt balance compared to the prior year. Our adjusted effective tax rate for the quarter was 19.4% compared to the prior year's 13.5%, which, as a reminder, included a one-off benefit related to an acquisition. On November 20, we issued $600 million of 4.75% senior notes that are due in March 2031 through an underwritten public offering. The notes which pay interest semiannually are unsecured and rank equally with our other senior unsecured debt. And finally, during the quarter, we repurchased $175 million of common stock and returned $206 million to shareholders, inclusive of dividends. Now let's take a look at full year 2025 results. Reported sales increased 5% and core sales increased 2%. Adjusted EBITDA increased 5% and adjusted EBITDA margin remained consistent with the prior year at 21.6%. Reported earnings per share increased 7% to $5.89. Adjusted earnings per share were $5.74, a decrease of 1% compared to the prior year at comparable exchange rates, reflecting again higher depreciation and amortization expense and higher interest expense year-over-year. The adjusted effective tax rate for the full year was 21.4% compared to the prior year's 20.5%. Free cash flow was $303 million, comprising cash from operations of $570 million, less capital expenditures net of government grants of $267 million. Free cash flow was $64 million lower year-over-year, largely due to the timing of tax payments of about $44 million, along with higher pension contributions of about $10 million as well as some higher working capital. These were partially offset by lower capital expenditures. For the full year 2025, we repurchased 2.7 million shares for $365 million, the highest repurchase amount in the past decade and returned $486 million to shareholders, inclusive of dividends. Yesterday, we announced a new authorization from our Board of Directors to repurchase up to $600 million of the company's common stock. This new authorization replaces all existing authorizations. Finally, we ended the year with a strong balance sheet once again, reflecting cash and short-term investments of $410 million, net debt of about $1.1 billion and a leverage ratio of 1.38. Before we move to the outlook, I'd like to briefly update you on our emergency medicine portfolio and reaffirm the guidance we provided last quarter. We continue to anticipate near-term headwinds extending through 2026. Based on what we currently know about end market demand, funding dynamics and customer inventory levels, our outlook remains unchanged. Specifically, we expect the decline in emergency medicine to represent a 2026 revenue headwind of roughly $65 million. We expect the impact will be more pronounced in the first half of the year, driven by challenging comparisons to 2025. And while we do not anticipate a recovery in the second half, the year-over-year impact should moderate as we move through the back half of the year. Given the high-value nature of this portfolio, this dynamic will put some pressure on overall margins ahead of any mitigating actions we may take. This is a short-term headwind. Demand for nasal drug delivery technologies continues to be strong as we expand to new therapeutic areas, and we are able to deliver larger molecules through the respiratory system over time. Now on to our outlook for Q1. We anticipate first quarter adjusted earnings per share to be in the range of $1.13 to $1.21 per share. This reflects the higher interest rate environment and our bond offering completed in Q4, an effective tax rate range of 21% to 23% and a euro to USD exchange rate of $1.18. For full year 2026, capital investments are expected to be in the range of $260 million to $280 million, and depreciation and amortization expense is expected to be between $320 million and $330 million. As I mentioned during our Investor Day presentation in September, we have sustained cost savings and productivity improvements well north of $100 million. These savings are structural rather than onetime, resulting in a leaner cost base, improved scalability and lower cost intensity. We continue to drive productivity through footprint rationalization and targeted investments in automation and advanced manufacturing technologies, including AI, energy efficiency and continuous improvement initiatives. As we've noted before, structural actions are ongoing, and we regularly assess opportunities to optimize our global manufacturing footprint. Recent actions include further centralization of back office and support functions into global talent centers enabled by greater standardization and process automation. Within our Beauty segment, we are further consolidating our metal operations in France and rationalizing a U.S.-based beauty R&D office to better align and leverage resources. These actions reflect our continuous improvement mindset as we continue to pursue additional organization optimization opportunities. With that, I will turn it over to Stephan to provide a few closing comments before we move to Q&A.
Stephan Tanda: Thank you, Vanessa. Looking ahead to 2026, Aptar is well positioned for broad-based growth across all 3 of our segments. We expect continued strong growth in our Pharma segment, excluding emergency medicine, which has experienced a period of destocking. We continue to see solid growth momentum across injectables, systemic nasal drug delivery and our consumer health care solutions, all of which remain well positioned for growth. In Beauty, improving demand in prestige fragrance is an encouraging sign that the category is beginning to return to growth. And in Closures, we expect a steady performance supported by ongoing innovation and continued category conversions. Our disciplined focus on productivity, together with our strong balance sheet gives us the ability to return capital to shareholders while also retaining strategic flexibility and investing in the business to support long-term value creation. And with that, we are looking forward to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Paul Knight with KeyBanc .
Paul Knight: The first question is great performance in the elastomer business with GLP-1 growth. Do you see any deceleration in GLP-1 demand and elastomers in general in 2026? And then the second question is for Vanessa, your EBITDA margin trends as we roll out through the year.
Stephan Tanda: Paul, good morning, let me take the first one, and then Vanessa will come back on the second one. So overall, we see injectables to grow in the high single digit, low double digits, you always have fits and spurts. If I go back a little bit as we constructed the new plant and validated equipment and put an ERP system that we were kind of not being able to deliver everything customers wanted. Now that we are able to deliver every customer want and catching up with demand, we had some strong quarters, and we expect that continue, but steady state, I would think about high single digit, low double digit. GLP-1 certainly is important for us, but let's put it in context, overall of our Pharma business, it's tens of millions, maybe from the low tens of millions to the mid-tens of millions, but it's still not the sole driver of the injectable growth. It's much broader-based vaccines, other biologic projects, blood factors and so on.
Vanessa Kanu: Paul, and then on the second part of your question about margins, for the full year, we certainly expect margins to be significantly more robust in the back half of the year, driven by a couple of factors. So first, as I mentioned earlier in my prepared remarks, the year-over-year impact of the emergency medicine decline will be more pronounced in the first half. And of course, that being a very higher-margin portion of our portfolio. So therefore, the margin pressures will be stronger in the first half than the second half. We also expect sequential quarterly improvements in the margins for Beauty and Closures, as I mentioned as well, as we progress through the year, and that's driven by increased volume and also the production dynamics we saw in Q4 will start to abate as well. And then last but not least, across all the segments, as I mentioned, we are pursuing additional productivity measures that will help to partially mitigate the emergency medicine impact. And I would expect those measures to contribute more meaningfully in the second half of the year. So all that to say, while we don't guide for the year, and we certainly do have some moving parts in terms of mix and other dynamics, I would expect the second half to be much stronger than the first half. And for the full year, certainly at a total company level to be within the long-term target range. I hope that answers your question, Paul.
Paul Knight: Yes, it really does.
Operator: [Operator Instructions] Your next question comes from the line of George Staphos with Bank of America.
George Staphos: I wanted to spend my 2 questions on Beauty and Closures, and understand a little bit more about what happened since in aggregate, I think you would agree the margin performance there was a bit disappointing. Vanessa or Stephan, I think you mentioned something about continued maintenance in Closures. And I'm not really sure what that means since obviously, there's always ongoing maintenance. In Beauty, it seems like you were surprised with demand and that created some issues that then flywheeled around the rest of the organization to lead to the margin that you had. Can you comment on some of the specifics and what happened for those 2 segments in terms of the fourth quarter? And then when should we expect margins to -- you said they're sequentially improving. When do they cross over and become positive again? Is that 1Q, 2Q? Any help you could give us here would be really appreciated.
Stephan Tanda: Let's maybe tag team here. Hi, George. You raised a number of topics. Maybe a couple of things. One is we are, of course, very encouraged by the top line growth. of Beauty, noting a couple of things that Vanessa mentioned, about 1/4 of that growth came from tooling sales and fragrance coming back. And then the operational issues, I respectfully do not agree with your characterization. Basically, we had some new environmental measures that were required at one of our anodization plants at different permit levels and so on that required significant action, including once that hit the cost line. It's not ongoing, but it needed to be done to remain in compliance. And on the Closure side, I'll let Vanessa speak to that. But yes, I'm not happy with some of the uptime and unscheduled maintenance and the team has there a lot of work to do or has work to do to address that. But maybe, Vanessa, you try to fill in here what I didn't answer.
Vanessa Kanu: Yes. And I don't know that I would add much more color to it than that. There's a backlog of maintenance that we're dealing with in Closures. The team is working through the repairs as we speak. And so we do expect those issues to start to improve. George, I can't specifically guide you to what quarter we expect Beauty and Closures to hit the long-term target range, but we do expect steady improvements quarter-by-quarter. And...
George Staphos: Vanessa, but I wasn't asking about when you hit your guide, I want to know when you think you'll be up year-on-year, just to be clear. So -- but keep going. Sorry about that.
Vanessa Kanu: Yes. Yes, we're working through these issues.
Stephan Tanda: Yes. Let's be clear, we expect significant improvement in the margin already in Q1, and these are not repeat items. The supplier issue, just to give a little more color, we had -- one of our suppliers experienced a fire. So we had to qualify another supplier with worse pricing and worse quality. So that increased the cost. Now for the primary supplier to come back up, it will probably take a couple of months, but the environmental issues are behind us. So we don't plan for these things. But on the other hand, I'm quite proud that we landed EPS nevertheless, in line while overcoming these issues. And certainly, we don't expect them in quarter 1 to repeat at that magnitude.
Operator: Your next question comes from the line of Matt Roberts with Raymond James. [Operator Instructions]
Matthew Roberts: Stephan, Vanessa, and Mary, I appreciate the color given on emergency medicine, and it seems like it's unchanged from last quarter. But 4Q Pharma core sales were still up. So while that's good. Could you provide additional color on the emergency comp in 4Q and what it will be in 1Q and 2Q in emergency medicine and that 10% ex-emergency medicine in 4Q, are the drivers of that sustainable in the first half enough to again offset that tougher emergency comp you saw in 4Q? Or is it just that much harder and not expecting growth in first half? And then I'll go ahead with my second question. When you look at the Pharma margin, I think it was down 3 points year-over-year. How much of that was due to the mix of emergency medicine? And over the past couple of years, I think 1Q generally is the lowest margin for Pharma seasonally. Should we expect a similar 3-point decline we saw in this quarter? Or anything else that we should consider year-over-year? I think prior year had a royalty benefit as well, so maybe that was inflated. So just any additional color you could give there on the Pharma margin for 1Q?
Vanessa Kanu: So Stephan, do you want me to start and you can pipe in. I'm going to try to make sure I capture as much of your questions, Matt. Thank you very much. And thanks for noting, I mean, Pharma did have a strong quarter, excluding emergency medicine, that overall revenues were up 10%, excluding emergency medicines, and that is just coming from strength in the other parts of the portfolio. We had really good demand, CNS, central nervous system sales were up in the quarter, asthma, COPD, sales were up in the quarter. Turning the tide on CHC, certainly was important because it did not create a drag to those -- to the other areas of growth. And of course, we've already talked -- or Stephan has already talked about the 24% growth in injectables coming from GLP-1s, but also antithrombotics and other parts of the portfolio. So all of those items culminated to the 10% growth, excluding emergency medicine. Now your question really then is, okay, well, are you going to see 10% growth ex emergency medicine for the rest of the year? And we can't comment to that level of specificity because we don't guide for the year, but certainly, we expect continuing strength across the Pharma portfolio. We don't see that as being a onetime item for Q1. We expect that broad-based growth in Pharma -- sorry, in Q4. We expect broad-based growth in Pharma, again, ex emergency medicine going forward. And then in terms of your question on margin, there wasn't really anything else on the Pharma margin side besides the mix and volume of emergency medicine. So you're absolutely right. That is the biggest -- that was the biggest driver in Q4. And we do expect Pharma margins on a full year basis to again improve from Q4 levels.
Matthew Roberts: Okay. That 3-point decline in emergency medicine, can you comment, that would be similar in 1Q? Or is it comp harder so we should expect a greater magnitude? If you could give anything additional, that would be great...
Vanessa Kanu: Yes. So we quantified $65 million as a full year headwind and most of that being in first half. I would give you maybe a rule of thumb as think 2/3, 1/3, H1 versus H2, 70, 30-ish in that ballpark.
Stephan Tanda: But I just want to highlight that Vanessa said for the full year, we do expect to be within the long-term target. So we can't really give you the quarter-by-quarter evolution. But looking at everything that we see, we remain confident in that.
Operator: Your next question comes from the line of Dan Rizzo with Jefferies. [Operator Instructions]
Daniel Rizzo: Okay.
Stephan Tanda: We heard you there for a second, Dan, then you were gone again.
Daniel Rizzo: Yes. I'm sorry, I'm having more of technical issues. Can you hear me now?
Stephan Tanda: Yes.
Daniel Rizzo: Sorry about that. I was asking about NARCAN after the headwinds from this year when things kind of stabilize and get back to maybe a more normalized environment, how we should think about growth over the long term? I mean, obviously, there's a big surge. This is the offset of that. But I mean, how should it kind of shake out in the out years?
Stephan Tanda: Yes. What we hear from our customers, Dan, is that they fully expect kind of a low to mid-single-digit growth rate from the new baseline. Where exactly that new baseline is, I think we all want to know very badly. But -- and the reason is quite simple. It's being used every day by first responders. People's lives are being saved on an everyday basis. It is still by far the easiest way to spend the harm reduction dollars at state level to spend the opioid settlement money. And if you compare it with some other things like where is a fire extinguisher around me, where is a defibrillator, our customers see a lot of room for growth, making them available and break the glass boxes in buildings, on airlines, in buses. So there's a lot of room for this to keep growing. And then on that, of course, you overlay geographic growth, although we have to admit the U.S. is by far has the biggest issues in that category, but we see growth in Canada, in Europe and so on. So low to mid-single digits.
Daniel Rizzo: All right. That's very helpful. And then just with cough and cold with the nasal delivery. So you had kind of a soft winter maybe a year or so ago, led to some destocking afterwards. When do you kind of know if the winter was strong or soft or how it's shaping up for the outlook? So I mean, I'm assuming this year is actually pretty strong in terms of cough and cold. So would you know that by the second quarter? Or how does that read?
Stephan Tanda: Yes, we certainly will be able to update you maybe as early as the Q1 call, but for sure, the Q2 call. Clearly, we see the consumer health care destocking behind us and back to growth mode and then how rapid that growth will be impacted by how strong the cold and cough and flu season is. And as we all know from experiencing ourselves or those around us, it's a pretty strong season this year.
Operator: Your next question comes from the line of Matt Larew with William Blair.
Matthew Larew: The first one I want to ask about was on margins. So leading into this quarter, you had improved your EBITDA margins 10 straight quarters, reflecting the great operational performance there. And then there were a number of one-off issues here. Vanessa, you called out the tooling mix, the maintenance issues, obviously, the loss of the NARCAN business. Is there any way you could quantify those issues? Or were you able to internally, to give you confidence that you still improved underlying margins? And it sounds like, Vanessa, based on your comments at the end of the call, that you still feel good about the trajectory and opportunity to expand margins from here.
Stephan Tanda: Well, Vanessa is thinking about those numbers, let me just -- we didn't lose any NARCAN business. We were the sole supplier to that opportunity because of the strength of our intellectual property. But yes, we have the destocking or whatever you want to call it, the strong comparable.
Vanessa Kanu: Yes. And Matt, I think you called it out. To be clear, we're not happy about the operational issues in Beauty & Closures, and you heard that in Stephan's script. So we certainly don't want to trivialize that. But those should be transitory, those should be nonrecurring, and the teams are actively working through those issues. So if I sort of isolate that and isolate the impact of the NARCAN mix, the rest of the business is quite healthy in margin. And as we progress through the year, as I mentioned earlier, I do expect margins to be stronger in H2 than H1 and for the full year to still be within the long-term target range at the total company level. So absolutely, some of these items are isolated to what we're going through right now, but should start to correct themselves as we proceed through the year.
Matthew Larew: On capital allocation, you did a small deal in late 2025 with Sommaplast. You just announced a new buyback plan. Maybe just give us a sense for capital allocation priorities and what you're seeing out there in terms of Sommaplast or other interesting areas of potential investment in 2026?
Stephan Tanda: Well, let me take the last part and then maybe Vanessa, you can talk a little bit more about the buybacks. Clearly, our M&A algorithm continues to execute. We look at plenty of opportunities. You look at 10 deals, maybe you do one. And you guys know what we're looking for. We're looking for bolt-ons that come with good management that wants to stay with us and continue to drive it. That's our sweet spot, that's our history, and that's what we're looking for. In addition to that, we look for technologies that we can acquire to strengthen our intellectual property portfolio and/or leverage across the company and further build out our kind of more Pharma packaging type business on building on the active material portfolio. And what we did in Brazil is certainly an indication of the kinds of things we are looking for. And in general, adding geographic breadth in the large markets is always of interest. And that's not only in Asia and the Middle East, although those are important growth regions for some of our Pharma business, the U.S. is a very important growth region. So -- but we always look to add some geographic footprint. And then with that, I'll hand it to you, Vanessa, on more...
Vanessa Kanu: Sure. Yes, and...
Stephan Tanda: Specific topics.
Vanessa Kanu: Yes. And Matt, on the capital allocation policy, we're not changing our policy. We will continue to allocate capital towards our own growth and of course, return a portion of that capital back to shareholders. And we very much continue to see ourselves as a growth company. You've heard the numbers, Q4, the strength in Pharma and so on. And so we'll continue to invest for growth. But the Board authorization gives us the flexibility for us to buyback shares when it makes sense. And we like the flexibility, but it is completely discretionary, and we'll pull on that lever when it makes sense as you saw us do in certain quarters of 2025.
Operator: Your next question comes from the line of Gabe Hajde with Wells Fargo.
Gabe Hajde: Vanessa, you mentioned $100 million of cost savings and productivity. It sounds like there's a, call it a laundry list of things that you guys are chipping away at. I feel like the last formal number that you've given us was $80 million starting in 2021, getting after some of these, again, productivity initiatives and things like that. First time I'm hearing a number, can you tell us maybe how much you're going to get in '26 and what the runway is on that?
Vanessa Kanu: Yes. Gabe, actually, we went -- we did share those numbers during our Investor Day. At the time, we actually shared about $110 million of cost -- annualized cost reductions over the last couple of years. So that's not new. It could be that you heard the $80 million perhaps a year earlier, you could maybe, but what we shared in September was about $110 million. And of course, we continue to execute against cost reduction since then. So hence, in my remarks, I mentioned well north of $100 million. And that is really just was in reference to how much we've taken out. It's not necessarily a guide to what is to come. All of the items that I went through in my script really is just to give you an indication of the different levers that we're looking to pull. And certainly, productivity is a big part of our -- we have a number of initiatives for 2026 and a big part of our priority for the year as well, particularly to help to combat some of the mix issues. But we haven't -- we're not guiding on a specific saving number for the year.
Stephan Tanda: And maybe let me build on that. Clearly, as you guys know, we changed poise and rigor somewhere in COVID around '22 to get much more serious on productivity. We've done a lot of work in terms -- in the consumer-facing businesses with -- in Beauty and in Closures and a lot of work on back office streamlining, Vanessa talked about earlier. It's funny, when you build this muscle, you start to get additional ideas. So we ended the year with a very robust productivity agenda. And not only to address these short-term issues, but really to further drive efficiencies across the network, and we have ideas for '27 and beyond. It really is not part of our toolkit, and we've built the muscles and I'm very proud of the team that they come with additional ideas to reduce cost in place, so to speak, to further streamline the network, take less efficient operations offline, take advantage of more efficient operations and so on. So it's part of our DNA.
Gabe Hajde: Okay. And I apologize, it struck me as something that was fresh or recently initiated. So apologies there. I wanted to ask about the CARDAMYST getting FDA approval. I know it's always tough with these things, but are you seeing initial pipeline fill in '26? Or do you expect to see -- you mentioned a 10-year runway in terms of ramping up to maybe its full potential. Again, I know it's always challenging when you have a new drug and getting physicians acclimated and then, of course, consumers using it. But maybe initial thoughts on even if it's offsetting some of the NARCAN drag in the first half of '26?
Stephan Tanda: Yes. Indeed, I agree with you that it's not easy to kind of give projections on how a new drug will do, especially in the short term, as you know, you have to work through prescribers, payers, supply chains and so on. And our normal way of being in this industry is that it takes several years to kind of establish a trajectory. NARCAN certainly was an exception in terms of kind of steepness of the adoption curve and going generic and over-the-counter and all that. Other examples for Aptar, I will give didn't go anywhere for 4 years and then took off and now it's a blockbuster and continuing to grow and everything in between. So neffy seems to be a no-brainer, if you ask me, but it's not easy to go through all these hurdles from getting it prescribed, getting it reimbursed. And for me, the cardiac treatment also seems to be a no-brainer. But if you have to not go to the emergency room and just take a puff in layman's term of cardiac medication then that seems to be a no-brainer. But we will have to see how it plays out. I think I quoted Piper Sandler, I certainly don't pretend to be smarter than them.
Operator: Your next question comes from the line of Ghansham Panjabi with Baird.
Ghansham Panjabi: Can you hear me okay?
Stephan Tanda: Yes, hi, Ghansham.
Ghansham Panjabi: Okay. Perfect. Stephan, just going back to 4Q and the emergency medicine component. Did that come in, in line with your initial view? I'm just asking the question because, obviously, you're going through a chaotic sort of destocking in the supply chain, et cetera, visibility, I assume, is low. Just curious as to how 4Q specifically tracked relative to internal projections.
Vanessa Kanu: It was in line.
Ghansham Panjabi: Okay. And then in terms of 1Q guidance year-over-year on an EPS basis, we're within striking distance from a year ago. Is that a reasonable proxy for 2Q, again, given all the dynamics with the destocking, et cetera?
Vanessa Kanu: Yes. That's a difficult question to answer without getting into sort of the quarterly guidance. Maybe the best way I'll answer it, Ghansham, is we think when we looked at what you guys have modeled for the full year, we think you guys have taken the input that we gave. You know, the -- we reaffirmed today the roughly $65 million year-over-year headwind on NARCAN because that's really where the headwind is coming from, which is roughly in line with what we had guided towards the end of last year. So that -- so we think you guys did capture that well in your models. We think your full year has captured that quite well. But getting into quarterly specifics, I think we can't provide any further guidance beyond the H1, H2 dynamic that I mentioned earlier, with H1 being the most severely impacted in terms of the year-over-year headwind.
Ghansham Panjabi: Okay. That's helpful. And -- yes, go ahead, Stephan.
Stephan Tanda: Yes. Just to add, say in different words maybe. We feel very good about the momentum with which we entered the year, emergency medicine aside, the rest of all the Pharma businesses, whether it's Rx, CHC, injectables, active materials is growing nicely. Beauty is returning to growth. Closures, we expect to continue to execute on category conversion. So yes, we have to overcome that high margin $65 million headwind. We also have to overcome some taxes and interest rate costs. But we feel very good about how we enter the year and how the full year should unfold.
Ghansham Panjabi: And just one final one on the $600 million authorization. Just to clarify, is that -- is it your intent to fund that sort of with excess cash from free cash flow? Or should we think about flexing the balance sheet just given where your leverage position is at this point and that's another lever that you can pull?
Vanessa Kanu: Exactly both. Yes. And we have flexibility on that $600 million, as you know. We had announced at the end of Q3 that at the time, we had about $275 million left on our prior authorization. And we did say that we would use all of that by the end of Q1. We used $175 million in Q4. So we have about $100 million of that, but that's been replaced by the refreshed authorization of $600 million. So we will -- we do have flexibility as to the exact timing of that -- of spending that.
Operator: Your next question comes from the line of George Staphos with Bank of America.
George Staphos: So Vanessa, I was looking at the cash flow statement, and it seemed like there was a bit more of a build in working capital and generally, the other balance sheet item changes this year versus last year, a bit more in the fourth quarter, if I'm not mistaken.
Vanessa Kanu: Yes.
George Staphos: What was driving that? And then not to pick on this, I just want to understand a little bit further, and I'll leave it here. Stephan, you said that you got behind on maintenance projects in Closures. How does that happen? Is that just a function of there was a lot of demand, and that's where the focus was? Or how would you have us think about it?
Vanessa Kanu: So I'll start with free cash flow and then Stephan, if you want to give more color on the maintenance issues in that plant in Closures. On the free cash flow side, you're absolutely right, George. So we were down this year about $64 million in free cash flow year-over-year, but most of that actually was due to timing of tax payments. So $44 million of the $64 million was driven by timing of tax payments. Another $10-or-so million was driven by timing of pension payments -- or pension contributions, I should say. And then the balance was sort of the net change in working capital. So when I look at working capital, I don't see anything there that really sticks out. Our DSO went up very slightly, perhaps by a day or so. Our days of inventory came down very slightly by perhaps by about half a day or so. So I'm not terribly concerned on the quality of working capital or the quality of receivables. But certainly, the timing of that $44 million tax payment in addition to $10 million pension contribution did impact free cash flow.
George Staphos: Okay, no, that's helpful. Thank you. And go ahead, Stephan.
Stephan Tanda: Yes. On your second question, I don't want to make it too big, but this is at one site in North America, where some large equipment was taken offline for a period of time and then didn't come back up the way it should. And this -- in my 35 years of industrial career, this is what happens once in a while. We are not happy about it. And this is about we should have done this or this or this differently, but -- and the teams are learning from it and addressing it.
George Staphos: Understood. Look, you guys run companies, we're just analysts, but appreciate the color there.
Operator: Your final question comes from the line of Matt Roberts with Raymond James.
Matthew Roberts: Stephan, I wanted to ask about the nasal and respiratory pipeline. As in the prepared remarks, I believe you noted respiratory was the top ranked by weighted value, which is somewhat surprising given there's been such strong growth in the nasal reformulation side. So is that a function of growth rate or revenue base? Or maybe said differently, how do you think about the underlying growth rate of respiratory and nasal categories in the pipeline? Or is it a function of maybe a higher revenue base on one of those? And any themes or what's driving the respiratory drugs in the pipeline?
Stephan Tanda: Yes. I mean, first of all, it's a large and important business. And that category is going through a change in propellant with lower greenhouse warming potential. So I think that makes it maybe disproportionately bigger without getting into all the specific projects. And we're extremely excited about the systemic nasal drug delivery. But let's remember, a handful of years ago, that category was almost 0, so -- versus the existing base. So that it's already that high up on the list is actually pretty good news, but inhalation is an important part of our business.
Matthew Roberts: Thank you again..
Stephan Tanda: Thank you.
Operator: There are no...
Stephan Tanda: Yes, let me -- operator, thank you. Let me summarize the call. Our teams delivered solid top line performance in quarter 4 with core sales growth from all segments. We feel really good about that momentum. Despite the unexpected cost challenges that we discussed, we stuck the landing and EPS came in line, wrapping up a strong year, especially when you consider the highly dynamic trading environment our customers had to navigate all year. We continue to be very, very excited about the strength and the diversity of our Pharma pipeline on the back, as we just discussed, of the ever-growing number of systemic nasal drug delivery projects and a higher participation in the injectable projects in the industry, including, of course, GLP-1s. We did talk about this pipeline and our excitement at the Investor Day in September, maybe it was drawn out a little bit by the NARCAN news. We gave you more color at JPMorgan last month. And again, the recent launches of 2 cardiac treatments, again, edema and tachycardia are the clear proof points of the power of that pipeline. And today, we gave you some more examples of the kind of clinical work that's going on, and these are just examples that we can talk about. As we enter '26, emergency medicine aside, we are well positioned for broad-based growth across all 3 of our segments. Of course, continued strong growth in Pharma, excluding emergency medicine with solid momentum across all the pillars, injectables, systemic nasal drug delivery, consumer health care and active materials. Beauty is returning to growth and Closures will continue to drive category conversions with innovations. We have a very rigorous productivity road map for the year and the years ahead and -- not only to address the short-term issues, but drive efficiencies across our operations and supply chain networks as well as SG&A expense. Last but not least, our strong balance sheet gives us the ability to both invest in the future and return capital to shareholders, while at the same time, retaining strategic flexibility to take advantage of any opportunities that may arise. With that, we look forward to talk to you on the road in the coming weeks.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.